Operator: Good day and welcome to the ADDvantage Technologies’ First Quarter Fiscal 2017 Earnings Conference. Today’s conference is being recorded. At this time, I would like to turn the conference over to your host Garth Russell of KCSA Strategic Communications. Please go ahead, sir.
Garth Russell: Thank you. Before we begin today’s call, I’d like to remind you that this conference call may contain certain forward-looking statements, which are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements include, among other things, statements regarding the future events, such as the availability or ability of ADDvantage Technologies and its subsidiaries to maintain strategic relationships and agreements with certain OEMs and multiple system operators, as well as the future financial performance of ADDvantage Technologies. These statements involve a number of risks and uncertainties. Participants are cautioned that these forward-looking statements are only predictions and may materially differ from actual future events due to a variety of factors, such as those contained in ADDvantage Technologies’ most recent report on Form 10-K on file with the Securities and Exchange Commission. Financial information presented on this conference call should be considered in conjunction with the consolidated financial statements and notes included in the company’s press release issued earlier today and included in ADDvantage Technologies most recent report on Form 10-Q filed with the SEC. The guidance regarding anticipated future results on this call is based on limited information currently available on ADDvantage Technologies, which are subject to change. Although any such guidance and factors influencing it may change, ADDvantage Technologies will not necessarily update the information as the company will only provide guidance at certain points during the year. Such information speaks only as of the date of this call. During this call, we will also present certain non-GAAP financial measures in our press release's financial tables issued earlier today, which is located on our website at addvantagetechnologies.com. In this release, you’ll find a reconciliation of these non-GAAP financial measures with the closest GAAP financial measures and a discussion about why we think these non-GAAP financial measures are relevant. These financial measures are included for the benefit of investors and should be considered in addition to and not instead of GAAP measures. With nothing further, I’d now like to turn the call over to David Humphrey, President and Chief Executive Officer of ADDvantage Technologies. David, the floor is yours.
David Humphrey: Thank you, Garth. Welcome everyone to the ADDvantage Technologies fiscal first 2017 conference call. With me today is Dave Chymiak, our Chief Technology Officer; and Scott Francis, our Chief Financial Officer. Before I turn the call over to Scott, to provide the detailed financial results, I want to provide an update on our recent performance and briefly comment on our ongoing strategic initiatives. I'm pleased to report that the financial results for the first quarter of fiscal 2017 were positively driven by organic top line growth in our Cable TV segment and acquisition revenue in our Telco segment. Total revenues for the quarter increased 48% to $12.1 million resulting an income from operations approximately $400,000. Our Cable TV segment delivered solid sales and EBITDA performance for the first quarter. I just mentioned we have seen improvements in market demand over the past several quarters and while there will always be some buyer variability each of the individual parts of this segment including new and refurbished equipment sales as well as services is contributing to the current success. In order to driver this organic growth the Cable TV segment continues to leverage its strength which include of solid inventory position and can provide our customers the equipment they need when they need it. A knowledgeable team that is trusted by our cable operators customers as value technical consultants in making upgrades and repairing complex aging networks. Strategic relationships with the leading OEMs of the cable industry, a geographic footprint across much of the United States which allows us to better serve our repair customers. All these factors provide us with growing confidence in this business and we believe that the Cable TV segment will continue to deliver solid return for our business. Turning to the Telco segment, sales increased $2.2 million to $5.5 million for the quarter. This growth is attributable to our recognition of sales to the majority of the quarter from Triton Datacom, which we acquired on October 14. Triton is a provider of new and refurbished enterprise network products, including white desktop phones, enterprise switches and wireless routers. We believe there are many areas where our existing businesses and Triton are complementary, while some appears to be diversifying our business further. In particular, the steady demand in the enterprise desktop phone segment is exciting new niche market for us to tap into. The added revenue from Triton helped to offset the continued lower sales from our existing Telco business, which has seen a decline of sale over the past several quarters. We have previously announced we are working on implementing several changes to this segment in order to address the overall disappointing sales performance including expanding our salesforce to further penetrate our current customer base, as well as target a broader end user customer base, improved our quality controls for used products for end user customers by testing the equipment prior to shipment, improved packaging and shipping methods that cater to our end user, and expanding the capacity of our recycling program. Our sales for the existing portion of this segment may not be in a position to see measurable growth in the near term, once these initiatives are fully implemented they are expected to drive sales growth and provide sustainable profit and positive cash flows. Lastly, there were recent developments in our strategic joint venture YKTG Solutions LLC in connection with the cell tower decommissioning project for a U.S. wireless provider. We previously estimated that the decommissioning of project would generate approximately $1 million of pretax income over the life of the product which is projected to be completed in our third or fourth fiscal quarter of 2017. However, the U.S. wireless provider recently changed the process for assigning the various sites within decommissioning project which YKTG Solutions believes would result in a negative cash flow from joint venture. Therefore, YKTG Solutions has elected to not accept any further work under the decommissioning project unless and until the U.S. wireless provider resumes its previous process of assigning the site under the decommissioning project. In the current quarter we did not recognize the management fees of $200,000; as the fees may not ultimately collected from YKTG Solutions. The company plans on pursuing the collection from the joint venture partners under personal guarantee agreements it has with the joint venture partners as the remaining advance to YKTG Solutions that will not be covered by outstanding bills from the U.S. wireless provider plus any remaining vendor payments under the decommission project. To summarize the quarter, the Cable TV segment had a very good quarter and we are pleased with the results this segment has generated over the past several quarters. We are optimistic about the recent Triton Datacom acquisition and we believe it will add good growth to our Telco segment. Our immediate focus is to implement the initiatives I previously discussed within the remaining Telco segment in order to significantly improve the disappointing sales performance. With that I will now turn the call over to Scott Francis, our Chief Financial Officer, who will take you through the financial results in more detail.
Scott Francis : Thank you, David. For the fiscal first quarter of 2017 our total sales increased 48% to $12.1 million from $8.2 million for the same period of last year. Sales for the Cable TV segment increased by $1.6 million to $6.6 million compared with $5 million for the same period of last year. Sales for the telco segment increased $2.2 million to $5.5 million compared to 3.3 million for the three months ended December 31, '16. The increase in sales for our Telco segment was primarily due to the acquisition of Triton Datacom on October 14th as David previously mentioned. We recognized revenues from Triton Datacom starting on October 14th, which was that date of acquisition. Our consolidated gross profit increased $1.2 million, or 46% to $4 million for the three months ended December 31, '16 from $2.8 million for the same period of last year. The increase in gross profit is mostly attributable to the Cable TV segment which increased $800,000 to $2.4 million while the Telco segment increased 400,000 to 1.6 million. Gross profit margin for the Cable TV segment increased to 37% for the three months ended December 31, '16 from 32% for the same period of last year. The increase in our gross profit margin was due primarily to higher margin sales on certain refurbished equipment sales and our gross profit margin for the Telco segment decreased to 29% as of three months ended December 31, '16 from 36% for the same period of last year. This decrease was due primarily lower gross margin from equipment sales related to Triton Datacom, as well as lower gross margin for used equipment sales from the remaining portion of the segment as a result of an increased percentage of sales to resellers which traditionally have lower gross margins as compared to the end user customers. Our operating, selling and general administrative expenses increased $900,000 to $3.6 million for the three months ended December 31, 2016 from $2.7 million for the same period of last year. The increase in expenses was due primarily to increased expenses in the Telco segment resulting from operating expenses of $500,000 related to Triton Datacom and the Triton Miami acquisition related cost for 200,000. In addition, for the three months ended December 31, '15 we have reported a reduction on the Nave communication earn out accrual of $200,000. Our net income for the three months ended December 31, 2016 was 200,000 or $0.02 per share compared with the net income of 24,000 or $0.00 per share for the same period of last year. Our consolidated EBITDA increased $400,000 to $800,000 for the three months' period ended December 31, '16 from an EBITDA of 400,000 for the same period of last year. The Cable TV segment EBITDA increased $800,000 to $1 million for the three months' period ended December 31, '16 from $200,000 for the same period of last year. The Telco segment EBITDA decreased $300,000 to a loss of $0.1 million for the three months' period ended December 31,'16 from income of $200,000 for the same period of last year. The Telco segment EBITDA includes the impact of the Triton Miami acquisition related cost of $200,000. Our cash and cash equivalents were $4.1 million as of December 31, '16, compared with $4.5 million as of September 30, 2016. The company generated $1.8 million of cash from operations for the fiscal quarter ended December 31, '16. We also did receive repayments of $1 million related to our advances to the strategic joint venture of YKTG Solutions, in connection with the cell tower decommission project. The company also made 0.4 million of principal payments on our notes payable. In addition, the company entered into a new $4 million term loan to partially fund the $6.6 million of cash payment of the asset acquisition of Triton Miami. As of December 31, 2016, the company had net inventory of $21.8 million, compared with $21.5 million as of September 30, 2016. The Triton Miami asset acquisition included $1.1 million of inventory. This now concludes the financial overview for the fiscal quarter of 2017. I’ll now turn the call over to the operator for questions.
Operator: [Operator Instructions] And will take our first question from George [indiscernible], who is a private investor. Sir, your line is open. Please go ahead.
Unidentified Analyst: First question would be in terms of the field ops on the Nave side, now you are indicating you've made some changes. What can you expect to get back on track here, how long is it going to take to get Nave cooking again, so it can really can make a contribution to the overall operation?
David Humphrey: George, that's hard to say. As we said in the comments that we expect to not see a lot of growth for the next couple of quarters. But certainly we believe the initiatives we're taking and the focused of the management team there in the sales people will ultimately create an increase in both revenue and profitability for Nave. So we are excited long-term for the prospects of Nave, in the short-term we're not expecting a whole lot of extra growth.
Unidentified Analyst : Okay and do you see any cross hatching from the acquisition in Miami -- the Miami acquisition in terms of Nave? Is there going to be any interim play there that you can capitalize on potentially with the impressive results that you acquired in the Miami Triton deal?
David Humphrey: Well, George the answer, I'll kind of split my answer; One, we didn’t buy the acquisition based on the synergies with the complimentary sales opportunities, but we certainly do believe there are some, that we believe they do sale of similar products, they do have a slightly different customer base, but we believe that Triton can sell some of the equipment from Nave and we believe that Nave can sell potentially some of the equipment that Triton carries.
Unidentified Analyst : Okay, alright. And then looking at the numbers and the quarter, you reported 200,000 and you had cost associated with the acquisition, looks like it was what 200,000 to 250,000; Was there a cost in terms of the acquisition that was written off in the quarter?
Scott Francis: Well, George. This is Scott. The acquisition related cost for the Triton Miami acquisition were around 200,000 on a pretax basis. So that's what you're seeing.
Unidentified Analyst : Yes.
Scott Francis: So that is what it would be, so if we wouldn’t have had that, you can do some math and add it back into the pretax, that would be the case.
Unidentified Analyst : Okay, that's what I was driving at. So effectively, without that the earnings number could have been $0.04 a share for the quarter?
Scott Francis: Depending on rounding, but again that's a pretax number, so you'd have to tax [technical difficulty].
Unidentified Analyst : I got you, okay.
Scott Francis: Somewhere between 3 and 4, yes.
Unidentified Analyst : Okay, well at least it's an indication of going forward. Is there anything generally that you can say about how you are viewing this quarter that you are in now with almost halfway through it. I assume that things are continuing to look better on the Cable side for you?
Scott Francis: Dave, I'll let him answer that one on Cable.
Dave Chymiak: We're getting a lot more enquiries, but usually we don’t give any information out on projections at this point. But I can't say we are given a lot more votes out [ph].
Unidentified Analyst: Okay. In terms of the cable operations, I think you've expanded some of your field operations, can you talk a little bit about what's going on in some of the new field ops that you got going?
David Humphrey: So we have, over the last year and half we've added two faculties, one in Phoenix that was a startup and the acquisition in Kingsport. Both those facilities are continuing to improve their operations, again both on revenue and profitability. So we expect them to continue to grow the revenue base and their profitability over the next several quarters.
Unidentified Analyst: Okay. And maybe a technical question I've always asked this every quarter, of the view about this field amplifier situation. Are you starting to experience anything where field amplifiers are now being replaced and is that giving you opportunity near term?
Dave Chymiak: Hey George this is Dave. We're experiencing a lot more inquiries we're making a few sales. And we are in a small project right now the 1,000 amps of upgrading.
Unidentified Analyst: I see, okay. And then I got a question or so on, with reviewing the annual report and the information for the annual meeting. And reviewing the pay for management and there are some increases there of course. And I would hope that the increases are going to help initiate an effort that produces better results for the company overall, you got anything to say about that?
Dave Chymiak: Yeah George, first of all we didn't increased our base pay, those were bonus payments based on the accomplishments of securities some goals that we had with our board. But yeah, we did not increase our base compensation and of course our future compensation we based on the success that we can develop with our existing businesses.
Unidentified Analyst: Okay. And then one observation about the insiders stock ownership. In reviewing things from last year, I noticed that there have been -- there were no purchases in the market of stock by insiders. I know that you are -- you get option executed as members of management, so your position in the shareholder ownership is growing at least on an option basis. But we're kind of really surprised that there were no execution of purchases in the market by management, considering the considerable decline in the past -- the current period or still in a current period, where the company is selling at less than 50% of book value, correct me if I'm wrong on that, and I don't see any insider purchases. I mean just an observation, generally companies I'm looking at, there is always insider management buying or directors. Do you have a comment on that?
David Humphrey: Yes, I do. I mean first of all you wouldn't expect Dave to purchase anymore, he is already a significant shareholder in our Company. And from the standpoint of Scott and I really, we do receive some of our compensation in the form of stock. So we do receive both, we've received stock options in the past, we do receive stock compensation on an annual basis. So we continue to increase our position in the company without purchasing additional stock.
Unidentified Analyst: Okay, and then just an overview question. How do you feel about -- what are you trying to get tackle or get your arms around in terms of the acquisition in Miami? Going forward what do you hope to accomplish in the near term, let's say the rest of your fiscal year as you are looking forward into late September? Have you got any goals that you want to really set out here and are you anticipating being able to set in motion an opportunity to really grow their sales?
David Humphrey: George, that's a -- as you know we don’t make forward-looking statements and your question infers one, I will tell you that we will work with the Triton people, help them utilize our balance sheet to position products that can help them increase their sales down, what they would do on their own. And certainly support the team to try to expand ourselves both at the end user market as well as on the retailer market for now.
Unidentified Analyst: Okay, and in closing for me, the joint venture and cell tower situation, do I understand that that would be over by the end of this calendar year or what?
Scott Francis: George this is Scott. Right now where we are at with it, is all work that has been assigned to the joint venture has been completed and at their point, when I say completed as a 12/31/16. So it does not appear that this is going to be further assigned at least that we are aware of at this stage. So we are trying to do the wrap up and it did end quicker than what we were hoping. But that is where it's at right at the moment.
Unidentified Analyst: I see, so affectively the financial input there would be repaying that and you would get your funding back that you put toward the project?
Scott Francis: So what we have right now, I mean I've had a chance look at our Q right at the --, but our Q shows on the investment that we have in the venture right now that our advances are sitting there on the investment in the company as 1.6; So we anticipate at least getting that, we hope we'll be able to secure more than that. But that’s what we are working on.
Unidentified Analyst: And do you have to get more than that out to actually record the profit that you indicated you would -- your profit target on that venture?
Scott Francis: So the profit target that we had originally put out was assuming we were going to get more sites. But that's not occurring. So that profit target that we put out there, even six months ago is not going to materialize now unless something changes. Right now we are trying to assess as to what ultimately we will get to recognize. But right now what we recognized in '16, fiscal year '16 is where we are at and then we will, to the extent generate more than the collection supports, then we may get to recognize some more of it. Right now that's where we're at.
Unidentified Analyst: Alright thanks very much. Hopefully all goes well, it looks to me like you should be able to generate $0.05, $0.06 a share per quarter and hopefully get up in the $0.25 range for starters and grow that going into 2018. Thank you.
Operator:
Operator: And will take our following question from Steve Rudd from Blackwell. Sir, your line is open. Please go ahead.
Steven Rudd : The $1.6 million for the non-performing joint ventures, where is that money?
Scott Francis: What do you mean by, where is that money. I 'm sorry I don’t understand your question.
Steven Rudd: So I have the accounts of various banks JPMorgan, Wells Fargo, Chase, [technical difficulty] whatever that's the same as JPMorgan these days, where is the $1.6 million physically now?
Scott Francis: It's in the form of an advance. So it's actually in the form an advance to the equity investments. So Steve it's not sitting in someone's banks account, if that is the effectively the advance that we've had to do for the billing to the wireless provider left, that we have is outstanding receivables, we would have had made payments to the general contract down the project --.
Steven Rudd: So the $1.6 million, there is no $1.6 million in cash sitting anywhere. That's just an I owe you right now?
Scott Francis: That's what it says on our balance sheet, is it's an advance to the investment and investee.
Steven Rudd: Okay, and the investee has blowing thorough that advance I think?
Scott Francis: Well, that's your words, that is basically the -- it is a construction project we knew that there would be advances to the company in order to pay general contractors before we get paid by the wireless provider underneath the contract. So, that's right, right now is just timing of cash flows.
Steven Rudd: Do you have a lien on the receivables due from the wireless provider? In other words, the UCC filing on those payments, did you actually get them?
Scott Francis: We do actually them, it's not a lien on a billing. Before we bill we actually have all liens taken care by the GCs to make sure we're protected on that front. And then we actually do as we noticed we have credit insurance with the -- against the wireless provider for which we've not had to utilize at this point, but we do have credit insurance.
Steven Rudd: I'm not worried about the wireless provider, I'm worried about your partners. So are you telling me that the 1.6 million is going to come back to us and that's on a secured basis that it's coming back to us?
Scott Francis: Yes, but right now I'm not as concerned with the $1.6 million because of most of that is in the form of the wireless provider within the net offering against the GC. Not as much against the partner itself.
Steven Rudd: Okay, and then on top of that do the partners themselves owe us money?
Scott Francis: Yes.
Steven Rudd: How much is that?
Scott Francis: It's in -- in our 10-Q we have disclosed what the actual advance and totality is right under $2.3 million. [Multiple Speakers], right now we have on our own balance sheet recorded as 1.6. So, yes that where we are at right at the moment.
Steven Rudd: So the partner owes us 700,000. Is that right?
Scott Francis: Subject to rounding, but yes.
Steven Rudd: Okay, fine. And that 700,000 how many of these individuals are there?
Scott Francis: I can't disclose that. Sorry, it's with the --.
Steven Rudd: I'm just wondering if it's one guy or if it's 15 people because I'm trying to get to the likelihood of collection on those sums?
Scott Francis: I understand what you are trying to do, Steve and I can't get into the likelihood of collections or non-collections on the calls because we're still in --.
Steven Rudd: Are any of those funds secured on any basis whatsoever? A mortgage on someone's home? A lien on their car? A positive balance on their cellphones, is any of this money secured?
Scott Francis: No, I haven't thought about the cellphone side, that's unique. No, we have personal guarantees of each of the members of the LLC. And right now that's what we do have, personal guarantees.
Steven Rudd: So you have unsecured guarantees by these individuals?
Scott Francis: Yes that's what we have right at the moment.
Steven Rudd: Okay well, you have to be aggressive about getting that money, because otherwise you're not going to see it. And 1.6, it sounds like we may get, and the $700,000 if someone -- whatever you have to do to get that money. I don't like having on our pockets today [ph] and understanding things change bla, bla; but the whole deal never smelled good to me and now the stink has surfaced to the top. Let me just ask one another question if I can. Is there any understanding between the Chymiak regarding the company if the book value fall below a certain level?
Scott Francis: I'm sorry, ask that again, what?
Steven Rudd: Sure. One of the things we've noted continually is that the share prices is 50% or lower roughly than the stated book value. And I've always been stunned by the stated book value given the intransigents, let's call it the failure of the move of the inventory. And also, I've been stunned that we've been unwilling to write down the book because it would also say [ph] that's on tax and accounting basis and yet we're all so geared to keeping that book value stated where it is. So what I'm trying to get to is, is there an understanding of any sort between the Chymiak, because obviously we have two major holders, the current Dave and then his brother and I'm wondering if there is an understanding regarding the Company, if the book value is below a certain level. [Multiple Speakers] understanding as to what happens to the company if the book value goes below a certain level?
Dave Chymiak: This is David Chymiak. There is no understanding whatsoever, zero.
Steven Rudd: Okay. And with respect to our, I figured on our loan agreements we have some difficulties if the book value is below a certain level. Because I'm sure --.
Dave Chymiak: Actually, we don’t have any difficulties with our loan agreements. So we're actually good said with our banking intuitions on that.
Steven Rudd: No, I'm not talking about that, I'm saying if the book value goes below, you're usually required to a certain book value.
Dave Chymiak: No.
Steven Rudd: No reference to book value at all, even negative they wouldn't call the loan?
Dave Chymiak: No because that's not my covenant.
Steven Rudd: Okay.
Dave Chymiak: Your bigger issue there, of course Steve, if you went negative to your point, which we couldn't, but if we did, you'd have different issues on your hand. Which is how they get protected on the other ratios for which they have. So the question on the book value isn’t as big of their concern is, as it is on the big charges of course in the various leverage ratios [Multiple Speakers].
Steven Rudd: So that would be the, I think [indiscernible] at the top level, Scott and so of course the other ones are encompassed by my question. I figured let me give you this forest question and then understanding that that's consistent with a bunch of trees. But that said, I appreciate the clarification. I hope you guys get the 700,000 if for no other purpose, at a good part of it to show that your pockets are not pick-able and I hope that the good folks in Miami are better partners and the folks you just had these dealings with.
Dave Chymiak: I appreciate.
Steven Rudd: Sure.
Operator: [Operator Instructions] Alright, I would like to turn it back over to David Humphrey for any additional or closing remarks.
David Humphrey: Very good thank you operator. So before we conclude the call, I’d like to reiterate that looking ahead to Cable TV segment continues to perform well and we are excited about the recent addition of Triton Datacom. However, our largest focus right now is to ensure that the initiatives discussed earlier in the Telco segment are implemented so that it can become an overall profitable segment with positive cash flows overtime. As such we are cautiously optimistic about the ability to build momentum in these business segments to drive sales growth and create a stronger outlook on the company of the long term. I’d like to thank our shareholders for their loyalty, support, and patience, as we continue to build value together. Thank you all.
Operator: And ladies and gentlemen that does conclude your conference for today. We thank you all for your participation. You may now disconnect.